Operator: Good morning and welcome to the Kansas City Southern Fourth Quarter 2020 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note, this event is being recorded.
Ashley Thorne: Thanks, Jason. Good morning and thank you for joining Kansas City Southern's fourth quarter and full-year 2020 earnings call. Before we begin, I want to remind you that this presentation contains forward-looking statements within the meaning of the Securities Exchange Act as amended. Actual results could materially differ from those anticipated by such forward-looking statements as a result of a number of factors or combination of factors, including but not limited to the risks identified in our Annual Report on Form 10-K for the year ended December 31, 2019 and in other reports filed by us with the SEC. Forward-looking statements reflect the information only as of the date on which they are made. KCS does not undertake any obligation to update any forward-looking statements to reflect future events, developments or other information. And with that, it is now my pleasure to introduce Kansas City Southern's President and CEO, Pat Ottensmeyer.
Pat Ottensmeyer: Okay, thank you, Ashley, and good morning everyone. Welcome to our fourth quarter earnings call. I'm going to go ahead and just move directly to slide five, with a summary of the quarter and a couple of comments here. As the headline indicates, we really had a strong quarter in the fourth quarter of 2020, with some significant challenges. And we'll talk about the challenges and the impact they had on our results a couple of times here. And you can see here revenue declined 5% versus previous year, and that was impacted by the teachers' outage and Southern Mexico blocking our line from Lazaro Cardenas to Morelia in Mexico City, and we'll share some detail and the impact of that in the comments that follow. And obviously, fourth quarter results, particularly operating ratio and earnings per share and revenue obviously impacted by a bad event as well as some elevated casualty expense, which was really an unusual quarter. I think Mike Upchurch has told me that was the highest casualty-related expenses we've had in well over 10 years. If you look at the chart at the bottom of this slide we've shown operating ratio and earnings per share in a way that tries to highlight comparable results to prior period as well as focusing on some of the core results. I will mention, in the adjusted operating ratio column, the 62.4% last year to 60.2%, that 60.2% does include the impact of some of these significant challenges and unusual level of impact. Mike Upchurch, again, will cover this in more detail later, but about one point on the operating ratio due to the Lazaro outages, and about 1.6 points, 160 basis points related to unusual level of casualties.
Sameh Fahmy: Yes, thank you, Pat, and good morning everyone, and thank you for being on this call. I would like to start on slide eight, by thanking the operation team for all the hard work and resiliency in the face of incredible adversity. And I think Pat touched on some of the items. I'll repeat a bit here, but we are running trains and servicing customers in the middle of the worst pandemic that humanity has seen in the last 100 years. And like all the other railroads, I'm sure we had a lot of cases. We had 650 cases of COVID, and on any typical day you have about 5% of crews marking off because of COVID. So we had to face that challenge, and simultaneously with it we had this blockade for 59 days in the Lazaro area with the teachers' protest, which is unrelated to the railroad, compounded with it a HAZMAT rule that came in effect in Mexico that reduced the maximum time on duty for crews, and affected us by about 200 new crews per month in Mexico, which is significant and causes delays for trains. Now thankfully this HAZMAT rule has been reversed, at least for a couple of months. And that we are seeing already an improvement in the velocity of the network in Mexico because of that change. People also forget that, in October, there were two hurricanes that came in the middle of all this. And the combination of -- and then the derailment that Pat touched on, which was in the Houston area, which is the main artery between the U.S. and the Mexico traffic, and it stopped the line for about two days. It was a very unfortunate one-of-a-kind type event.
Jeff Songer: Okay, thank you, Sameh. Good morning. I'll start my comments today on slide 11. And as Pat indicated, we are targeting capital expenditures of approximately 17% of revenue for '21 and '22. Expanding on those plans for '21 CapEx, this map highlights some of the main focus areas related to those investments supporting our PSR Phase 3 goals of service, volume growth, train length, and productivity improvement. In the north zone of Mexico, we continue to have tremendous growth in cross-border volume which was 18% for the quarter. As Mike Naatz will discuss refined products volumes led this growth story, 82% percent higher for the quarter. One dynamic we have seen this quarter are significant manifest volumes moving to multiple new transloading terminals in both the Monterrey and San Luis Potosi areas. To support these new opportunities in the Monterrey area, we have redesigned some local train services and have developed new infrastructure projects separating Monterrey into separate -- different service zones providing improved proximity to customers, faster local cycle times, and improved service design. We will continue with infrastructure work at our Sanchez terminal to all for additional blocking and billing of trains at that terminal to more efficiently serve the Greater Monterrey area and to improve receiving and departing of all cross-border trains. Reconfiguration of yard lease in and out of our Salinas Victoria intermodal terminal and the addition of intermodal cranes will provide a significant productivity improvement in the terminal and support our intermodal growth. Another characteristic of our infrastructure in Mexico is the density of customer facilities directly served off of our mainline. Which means the mainline can be blocked for periods of time while spotting and pulling cars from those industries. As more of these facilities are constructed in the Monterrey and San Luis Potosi areas, we will continue to modify our infrastructure with additional double main projects and new separated industry lead tracks. This will provide for more efficient switching for customers and allow more food trains to pass through the network unimpeded. Last year, we started multiple siding extensions to support our PSR train length initiative. And we will continue these into '21 and beyond as we look to capture additional productivity benefits with train length and more efficient need pass capacity.
Mike Naatz: Hey, thank you, Jeff, and good morning everyone. I'll begin my comments on page 14 with an update on our fourth quarter performance. Overall, as you already heard from Pat, revenue was down 5% on a 3% decline in carloads. If we were to hold FX and fuel price constant, revenues would have been down only 1% year-over-year. And also, as you heard, we experienced a nearly two month long Teacher strike in the quarter, which affected the carloads moving in and out of Lazaro Cardenas. Adjusting for these protests, volume and revenue would each have been up approximately 2.5% and sequentially adjusting for the protests, fourth quarter volumes and revenues would have been up approximately 3% and 9% respectively. All right, looking at the business segments, Chemical and Petroleum volumes increased on an impressive 18% driven by strong growth in refined product, which was partially offset by lower LPG volumes, largely due to market conditions and shifts in sourcing. The industrial and consumer segments saw volumes declined 6% year-over-year, and this was driven by weakness in our Metals business. We're continuing to see lower demand for drilling pipe due to the oil market conditions and for metal products used in infrastructure projects. The good news is that sequential volumes were up 2% or 5% adjusting for the protests and we're looking for continued improvement here. We do have some new steel plants coming online here in 2021 and the appliance business has been very strong on strong consumer demand. Ag & Min revenue was up 3% on a 4% increase in carloads and this increase was led by gains in our grain business, which posted a very robust 12% year-over-year volume increase. Looking at the energy business, carloads and revenue were down 12% and 16% respectively. I believe you're all familiar with the story here. Frac sand, crude oil and coal were all down due to weak demand. And while may be a while before the oil and gas industries fully recover from the pandemic, we have seen a very nice increase in crude shipments as the economics improve and after the Canadian government lifted their curtailments, we certainly expect this to continue in the near-term. Looking at the intermodal information on the chart, we provided you a specific example of how the protests affected this business segment. As you can see our year-over-year intermodal carloads and revenue were down 7% and 20% respectively but removing the Lazaro business, you can see our intermodal volume would have been up a very healthy 11%. Lazaro impacts aside, we saw a very nice growth in our cross-border and domestic business. Similar to last quarters, we're seeing inventory replenishment, e-commerce demand in type truck capacities being helpful. Lastly, our automotive volumes were down 4%, we did see a nice sequential recovery as U.S. vehicle demand was healthy and certain finished vehicle inventories remained low. In the latter portion of the quarter, we picked up some new business specifically with the launch of a new electric vehicle that's being produced in Mexico and shipping to Kansas City, which incidentally is a very nice length of haul for us. Fourth quarter core and contract pricing held up well. We're maintaining disciplined pricing strategy and targeting inflation or better pricing increases. And we also continue to focus on yield optimization and win-win solutions with our customers. Turning to page 15, I'd like to highlight the performance of our cross-border and refined products business. These strategic growth areas performed very well with cross-border year-over-year revenues increasing by 17%, and our refined products business growing at extraordinary 87%, which is very notable when you consider the COVID impacts on refined product demand. Returning to cross-border for just a moment, our ag min and chemical and petroleum business units both achieved cross-border volume and revenue records, and our intermodal cross-border franchise business delivered another strong double-digit growth quarter. We continue to see excellent opportunities in both of these areas. Turning to page 16, you'll find our 2021 outlook. As Pat mentioned, we expect double-digit revenue growth in 2021. And looking at the slide we've provided in FX and fuel constant bridge help to explain our outlook. Working backward favorable COVID comps particularly in the second and third quarters aided by favorable macroeconomic environment will provide 6% to 8% lift year-over-year. Second, we believe our unique growth drivers including the refined product and cross-border areas I just mentioned will contribute another 4% to 5% to our overall growth. As a reminder, the Port Arthur DRUbit project we talked about in previous calls continues on schedule and is expected to be operational in the second half of 2021. And lastly, we expect favorable fourth quarter comps resulting from lateral protests to provide another 1% of growth. In summary, well not without some challenges, we had a very solid quarter looking forward while COVID resurgence is a risk, we're very optimistic about 2021. The combination of our revenue opportunities paired with increased service focus as a part of PSR phase 3 will drive an impressive growth you're here for Kansas City Southern. That concludes my comments. I'll turn things over to our CFO, Mike Upchurch.
Mike Upchurch: Thanks, Mike, and good morning everyone. I'm going to start my comments on slide 18. As Mike indicated, volumes declined 3%, while revenues declined 5%, and that was negatively impacted by fuel surcharge and FX that combined reduced our revenues by four percentage points. We also experienced some negative impacts from the teacher's protest on our Lazaro line. They'll cover in more detail on the next slide. Our reported operating ratio was 62.2. That was negatively impacted by a one-time impairment of $13.6 million software development cost impairment. And despite our challenges related to Lazaro line protests and then usually high casually costs this quarter, we managed to improve adjusted OR by 220 basis points. Our reported diluted earnings per share were $1.80 adjusted for FX and the write-off of the software development costs are adjusted, diluted earnings per share were $1.89, up 4% over the prior year. Turning to slide 19, I want to cover our fourth quarter results that were negatively impacted by the teacher's protest and elevated casualties. Although, we're still feeling the lingering impact to these protests on our Lazaro businesses, as shippers has understandably been a little bit slower to direct traffic back the Lazaro, we really viewed both items as largely discrete events that should not continue at those levels in 2021 to better put our quarter into perspective, you can see a bridge here of our adjusted operating ratio and adjusted EPS from fourth quarter 2019 to fourth quarter of 2020. The shortfall to our forecast from Lazaro impact was about $23 million in lost revenue, which we believe impacted our Q4 operating ratio by about 100 basis points, and EPS by about $0.13 per share. Additionally, an usually high casualty costs added an additional 160 basis point impact to our OR and a $0.10 impact on EPS and while were disappointed in several high impact casualty events in the quarter, we do not believe the unusually high $26 million in casualties are reflective of our normal operating trends, and I actually went back 15 years and I can tell you, we never had a quarter like this we were kind of snake-bitten here. So really as you look at a quarter, so sorry, those two events, we think our core earnings growth in the quarter was more around 480 basis points and $0.30 per share. So turning to the next slide, let's talk about operating expenses. Our adjusted operating expenses declined 8%, evidence is continued good cost management. Other than the previously mentioned $12 million increase in casualty expenses, we continue to benefit from strong cost management across the business as evidenced by declines in comp and benefits, fuel equipment and purchase services. And let me just touch on comp and benefits and fuel. You will see more details on slide 29 in the appendix, but comp and benefits declined 11% driven by lower headcount and work hours lower incentive comp and FX. Our quarterly average headcount was down 7%, savings of $11 million from lower headcount and work hours is a result of lower volumes on our network, but more importantly trained consolidations driving fewer crew starts and reduced hours worked. Mechanical reductions due to fewer locomotives and freight cars and optimization of certain G&A functions that we executed in mid-year. For 2021, we expect our headcount growth to remain well below volume increases, as we continue to lengthen trains, creating further operating leverage. Fuel expenses declined 34% in Q4, driven by reductions to fuel price, better efficiency and lower consumption. And for 2021, we continue to believe fuel efficiency will be a large opportunity for us as we continue improving our cost structure and you can see more details again on slide 29. Turning to capital allocation on slide 21, free cash flow was up 29% despite the pandemic to $554 million in line with our previous guidance of $550 million. I think this clearly illustrates the resiliency of our rail operations operating during a pandemic and its proof of our ability to continue to generate substantial amounts of cash flow. 2020 CapEx came in at $410 million below the outlook of 425, and despite the significant pandemic challenges that KCS sustained in 2020, we actually increased shareholder returns by 23%, including a 26% increase in share repurchases. And during the fourth quarter, we repurchased approximately $2.7 million shares at an average price of $179.77. And before I turn the call back to Pat, let me give you a little bit of color I think on our guidance. Listen, we're really proud of the full-year 2020 financial performance we delivered despite operating through what we hope to be a once in a lifetime pandemic. Our team at KCS, I think from top to bottom really rallied against all odds and deliver terrific performance. And as Sameh indicated, I'd like to thank really all KCS associates particularly those out in operations who don't have the luxury of work at home options like many of us do. So, during the year we improved our operating ratio 250 basis points, while volumes declined 6%, revenue declined 8%, and that improvement was the second best or improvement in the past few decades, only better in 2010 as we emerged from the great financial recession when our revenues grew 23%. And as Mike mentioned, we feel really good about our 2021 growth prospects of double-digit revenue growth. We have some easy comps obviously not just pandemic, but with Lazaro, and when you look at it over a two year basis, you have a two-year stack revenue growth of roughly 3% to 4%. Economic indicators around industrial production, low business inventory levels, high order levels, manufacturing PMI is of greater than 60 and potential federal government stimulus and infrastructure spend give us some confidence that we can grow exceptionally well in 2021. Additionally, we do expect favorable mix impacts and continued strong growth in our cross-boarder business, particularly refined products and intermodal. As it relates to our OR guidance of 57.5%, the improvement of about 300 basis points is only nominally higher than what we delivered in 2020. And particularly in light of expectations we have for revenue growth in '21 versus experiencing revenue declines in 2020. Our incremental margin assumption is at 60%-plus; I think they're very achievable as volumes return to our network. And we've demonstrated obviously a solid track record of delivering PSR savings. We fully believe the $50 million target we have for 2021 is very achievable. And we have provided some additional details for you on slide 28, in the appendix. And with that, I'd like to turn it back over to Pat.
Pat Ottensmeyer: Thanks, Mike. I think that was an outstanding summary, and kind of a preview of how we see 2021. I will go back, I know there are typically a lot of employees on the call, pick up on some comments that my colleagues have made here. And just thank you; congratulate you for your amazing and outstanding agility and resilience through 2020. Very proud of the results and the way everyone responded. We thought we had things kind of dialed in, in the first quarter, the second quarter we went into full contraction mode, and then before we even caught our breath there in the third quarter, we came into full expansion mode. And hopefully we're in a place here in the fourth quarter where we have a little bit more stability. We think we've got good transparency in our business pipeline, and good transparency in our cost outlook as we move into 2021. So, again, as Sameh and Jeff mentioned, appreciate the flexibility that all of our employees showed, and especially call out the Mexican -- cooperation we had with our Mexican unions as the protocols, the health guidelines and protocols that were in place from the federal level, federal government had a real dramatic impact as the traffic light system changed over the course of the year from red, to orange, and then back to red in many cases, required a lot of cooperation and effort on the part of our union colleagues to help us get through that and continue to be able to maintain our operations, serve our customers, and really thank them for the effort there. So with that, we'll open the call up for questions.
Operator: Thank you. We will now begin the question-and-answer session. The first question is from Tom Wadewitz from UBS. Please go ahead.
Tom Wadewitz: Yes, good morning, and thanks for all the detail on the guidance. It's obviously a strong guide, and think all the detail is really helpful. Wanted to see, the revenue growth is pretty strong, and I wanted to see -- and the refined products momentum in fourth quarter is very strong as well. What do you think the risks are to that kind of, I think you're saying like 11% to 14% revenue growth in 2021, and rest to 2022, is it primarily risk to refined product, is it just kind of macro industrial economy risk, or how do you think about some of the key assumptions underlying that strong revenue outlook?
Pat Ottensmeyer: Thanks for the question. When we look at the risks I think at the top of that list is just the COVID resurgence, what could be happening on that front. We are expecting, as Mike pointed out earlier, some -- the macroeconomic environment to cooperate here. We're expecting the administrations, certainly in the U.S., to provide economic stimulus. And what happens with those I think might be considered risk. With respect to refined products, we've grown even while the pandemic has curtailed demand for product. And we do think that that's going to continue. We look across our business units in refined products, cross-border growth, I mentioned Port Arthur earlier. All of those things are expected to move forward. And while there may be some ups and downs, we believe that the outlook that we've provided is very reasonable.
Mike Upchurch: Might just add that auto is off to the little bit of a slow start with this worldwide chip shortage. And then, of course, Lazaro has started off a little bit slow here as well, but January, set aside Lazaro for a second and fuel and FX impacts, right, I mean our volumes of revenue were up high single digits here in January. Now, realize January doesn't make for the quarter or the year, but we're off to a pretty solid start here, and feel pretty good about the guide here.
Tom Wadewitz: Okay, great. Thank you.
Operator: The next question is from Ken Hoexter from Bank of America Merrill Lynch. Please go ahead.
Ken Hoexter: Hey, great. Good morning. And Sameh, thanks for the great PSR rundown, and Pat, Mike, and Mike for the great outlook. Jeff and Sameh, let me throw over to you. Given that the robust outlook, and Sameh, you made some comments about bumping up against capacity yet you knew where to spend. Does that mean maybe constraints on Mike's ability to hit that double-digit growth near-term? And then within that, is there a difference in growth rate you're targeting between Mexico and the U.S., obviously outside of the teachers' strike rebound? Thanks.
Sameh Fahmy: Well, very good question, Ken. Some of the limitations we are hitting we are already solving, and we are in January. Example, I gave some of the constraints that we have with train lengths from a labor point of view, if you're on more than 120 cars you have to have a four-man crew. If one guy doesn't show up, well, the whole train waits, that kind of thing. We managed to do things now with the union is helping us out tremendously. COVID is the catalyst in this case ironically, but it is already happening, and we are in January. When it comes to infrastructure we have done some siding extensions that came live. We have two between Vanegas and Benjamin Mendez, which is an area of a lot of train meets, and they come live in Q4. So, this thing is in motion already. San Luis Potosi Yard, we have been working on it for a couple of months. And I think month, the main line used to go in the middle of the yard, now it's not going to go, which is terrible. When you are doing switching operation in the yard trains are held out of the yard waiting to get in. That is coming online I think at the end of this month. We have actually one of my former colleagues running engineering. We brought him in from CN, he was retired. And he is leading this effort and leading engineering. And he is really stepping foot on the pedal, like we are doing a lot of the satellite yard, satellite service areas in Monterrey that Jeff is talking about, we were planning to accelerate them as fast as possible to afford a lot of the volume. And then the trick in the meantime, Ken, is the service design which is how do you design your work to do things the smartest way possible. Like we put some new cranes in the intermodal terminal, Victoria Salinas, in the Monterrey area, well, now are building blocks in that terminal. And also, we lengthened the leads for the switching area. And we are doing that now, and we are taking work off of the regulators and example, which is just before the bridge, and I have not talked about the bridge. But here is another infrastructure issue. We have one bridge now; Jeff has covered that in the past, that we already have the permit to build the second bridge. Now obviously that is not going to help 2021. But in the meantime, the windows, I talked about that often, hopefully next week we'll shorten the window from six hours to four hours, working very, very closely with customs on U.S. side and the Mexico side. These windows of northbound versus southbound, many trains will miss the window, like I said before, by like half an hour. Now they have to wait for the next window. So, the shorter the window the better it is, but the nice thing is with this implementation and the Mexican customs not having to cross the bridge to go to the south side, the Mexican side, and U.S. side with four-hour windows, if this stabilizes then we'll go to zero windows. And that hopefully will happen in the very short term, like it will happen in Q1. So this thing is already in motion, and we should not hinder the growth that is coming our way, because the growth is actually -- is very, very -- is very steep. And this is why we're saying also that we are very focused on the customers, very, very focused on the customers. We are putting things in place so that we don't have to wait for a customer to complain, okay. We want to know any issues with a customer before the customer even raises his hand, because we want to get all the volume we can get. So surely we have a lot of work to do. Some of it takes time, construction. But there are a lot of things where we are turning the dials, okay, to be able to absorb the volumes with what we have. And I hope that answers the question, Ken. And I don't -- Jeff…
Ken Hoexter: It does.
Jeff Songer: The mix issue that you asked about, we do have an assumption of slightly higher revenue growth in Mexico than the U.S.
Ken Hoexter: Right. Thank you very much. Appreciate the time, folks.
Operator: The next question is from Ravi Shanker from Morgan Stanley. Please go ahead.
Ravi Shanker: Thanks. Morning, guys. So slide 28 has some very good detail on the kind of PSR walk by bucket from '19 to 2021. Can you also share what that could potentially look like for '22 given the pretty healthy OR you're guiding to for '22?
Pat Ottensmeyer: Yes, Ravi, we've not made any assumptions around any incremental new initiatives in 2022, but the kind of carry forward benefit of what we're doing in '21 has another $30 million-plus of savings in 2022. And that's how we get to the roughly $250 million of structural permanent cost savings that we'll have generated out of our PSR efforts.
Ravi Shanker: Great, thank you.
Operator: The next question is from Jason Seidl from Cowen. Please go ahead.
Jason Seidl: Hey, thank you, operator. Everyone, good morning. Hope everyone is healthy and safe. Can you touch on mix a little bit more, and pricing, and how we should think about it? I know, Mike, you mentioned you have some new nice long haul automotive business that'll be coming from Mexico up to Kansas City. Wondering when that's going to hit, how we should think about it, and is there any other mix impacts that we should be modeling as the quarters move on in 2021 and 2022? 
Pat Ottensmeyer: I think there'll certainly be some puts and takes, revenue per unit on some of our faster growing segments, like refined products, will provide us with some lift. I think to the extent that, we had some intermodal comps related to Lazaro, those might swing a little bit the other way. But we believe, in general, that that revenue per unit should improve moving into next year.
Jason Seidl: Thank you. So positive for the -- mix is going to be an overall positive with all the puts and takes, as you view it?
Pat Ottensmeyer: Between mix and the pricing increases it should be positive, yes.
Jason Seidl: Okay… 
Pat Ottensmeyer: And a few of that back. Yes, we'll get a few points, Jason.
Jason Seidl: Yes, okay. If I can squeeze one more in, thoughts on the Biden administration and the relationship it's going to have with Mexico, love to hear that?
Pat Ottensmeyer: Yes, Jason, it's early to tell. But I think there are some positive signs. I was on a call yesterday that was arranged through the U.S.-Mexico CEO Dialogue, with the new undersecretary of North America for Mexico, and talking about sort of initial outreach and some -- the way they're currently feeling about the relationship with the U.S. And too early to tell, and as the old phrase, actions speak louder than words, but I think there's some encouraging signs. The small things that -- not small things, I think fairly big things in terms of just the taking some of the tension away from the relationship, I believe on the first day in office, President Biden signed two executive orders, one to support and work with Mexico in vaccine distribution, and the second to withdraw the lot of the program and funding for building the wall. So those are things that would appear to be intended and the reaction in Mexico was positive to put the relationship on a good course.
Jason Seidl: Now, that's good to hear. Gentlemen, I appreciate the time as always. Be safe.
Pat Ottensmeyer: Thank you.
Mike Upchurch: Thanks, Jason.
Operator: The next question is from Chris Wetherbee from Citigroup. Please go ahead.
Chris Wetherbee: Hey, thanks. Good morning, maybe wanting to follow-up on sort of the longer-term OR opportunity, Sameh, we talked in the summertime about the potential to maybe get towards this mid-50s OR and obviously, you guys are kind of putting that into the target as we move forward. We talked in the summer about different mixes, and where you can find that opportunity, you've given us this outlook through '21 in terms of the bucket as you go out sort of bigger picture issue, we still think that sort of labor productivity, maybe fuel efficiency are the biggest buckets, is there anything that maybe you found, it's been a little bit different or unique as you think about the network going forward?
Sameh Fahmy: Thank you, Chris for the question, and I added call in the summer, the analysis that you did that, we felt is quite accurate. And I think you're saying that we can get to 55% which is what we're saying here in the guidance for next for 2022. So, yes the areas, I mean the fundamental thing is, we're trying to keep the cost as flat as possible, like and that that showed in Q4, like the headcount is very low, and we're trying to keep the costs as low as possible, and then benefit from the fantastic revenue opportunity that we're uniquely positioned to have at KCS, as I was in Mexico, and cross-border traffic, and that is very unique to us. So, as high as we can hold that cost and manage to absorb the additional volume, with what we already have, without adding too much to what we have, that Operating Ratio is just going to keep coming down, right? I mean, that's so it really is going to be a combination of cost takeout, but also revenue growth, and the revenue growth is going down. I mean, when you talk about double-digit, now in 2021, because now we're comparing to easy comparables for Q2 was a pandemic and all that, if we can get that absorb that revenue double-digit revenue growth, and try to hold the lock in as much as possible on the cost, I'm talking here about crews and maintenance on locomotives and car and get more fuel efficiency, which is where that train lengths comes in. And keeping those train starts to where we are, we monitor them every morning, Chris, like we have targets we said, that are below the pre-pandemic counts of installs, so we'll check them every morning and we check the train lengths every morning and the crew starts. We want to keep these to the gains that we made during the pandemic, and at the same time absorb the revenue growth. And then with more emphasis was with some help from infrastructure, and with some help from labor like I said, if we get now velocity, I mean velocity is an important piece to answer your question, velocity is an important piece. We hope to increase the velocity by like one mile per hour, which is not very, that's not very demanding, I mean it's not a very aggressive target. Nevertheless, it's a big target. And there's a lot of money associated with that. Train lengths, there's another target and then fuel efficiency. So these are the three buckets, but again for the OR, you have these buckets, but out of velocity, and it's so obvious to us now more than ever before, you increase that velocity, because the demand is there, the demand is there. And it's not just refined products, it's grain as an example because there's so much demand in grain, we're focused on improving the cycle like get that cycle down to fewer days, get more trips per month with the same car sets. And every time you go back, you collect more revenues. So this is the combination, keeping an eye on the cost, but servicing the customers 100% because the revenue is there, the demand is there, and we just have to go and get it. So I hope I answered your question, Chris.
Chris Wetherbee: Yes, very helpful. Appreciate the color. Thanks so much.
Operator: The next question is Amit Mehrotra from Deutsche Bank. Please go ahead.
Amit Mehrotra: Thanks, Operator. Good morning, everybody. Mike, the unpacking of the '21 guidance was really helpful. I was hoping you could do the same thing on '22 in terms of it looks like you're just assuming high single digit growth and maybe 70%-ish incremental margins, and maybe some accelerated share repurchase. I was hoping you can kind of help us think about that. And then, I guess, the recovery in Lazaro following the blockage, I think maybe shipper confidence in that route has been negatively impacted. There might be some rerouting to other ports and over-the-road options. I was hoping you could just talk about how the recovery has been as those blockage have cleared and what you are seeing on that front? Thank you.
Sameh Fahmy: Mike, you want to cover Lazaro?
Mike Naatz: Yes, I'll go ahead and cover Lazaro. You are absolutely right. It's going to take a little while to restore the customer confidence in that lane. I will say that customers want to be serviced out of that port -- out of that area. And we do have customers that are coming back to us. We expect that the confidence will improve as we move through the first quarter and into the second quarter. And those shipments will pick up. Certainly that's the case on the intermodal side of the house. There are other businesses that will immediately go back to moving products in or out of Lazaro. And let me give you a couple of examples of that. We moved heavy fuel oil from Tula in the Lazaro Cardenas that is -- that business comes back immediately. And then we moved steel slab out of Lazaro Cardenas into the Monterrey area. And it's just not cost effective to do that other way. So that slab business will come back quickly as well. So, the intermodal piece will take a little while for that to be restored. But, other business segment or business unit opportunities will snap back very quickly.
Mike Upchurch: And Amit, to '22 I mean I am probably not going to go much beyond what we had on page five, but, yes, it certainly assumes a continuation of revenue growth certainly not the levels that we expect in '21, given the easy comps. And Sameh mentioned continued efficiency gains as a result of lengthening trains that's largely going to be around labor and fuel. We gave you robust outlook on free cash flow. And keep in mind that our Board has authorized us to tick up our leverage ratio to mid 2s which is going to provide some additional dry powder for buyback that contribute to the EPS growth that we are assuming here in 2022. So, I think combined all of that should get you reasonably comfortable with some of the numbers that we've guided to in 2022.
Amit Mehrotra: Yes, that makes sense. Okay, thanks everybody. Appreciate it.
Mike Upchurch: Thank you.
Operator: The next question is from Allison Landry from Credit Suisse. Please go ahead.
Allison Landry: Good morning. Thanks. So, obviously some unusual challenges in the quarter, but service metrics have deteriorated quite a bit even in the last several weeks. How quickly do you think you can start to reverse those trends, and show improvement and speed as well? And then, if you could just share with us trip plan compliance in Q4? I think maybe it was around 60% in Q3. That will be great. Thank you.
Sameh Fahmy: Well, for the -- good morning, Allison. For the service challenges and the numbers, they already started improving, Allison. And it is -- we can see it like it's measured every day. And example, the inventory count in Monterrey, okay? It was up to like 3200 cars. Now it's down to about 1800 - 1700 cars which is where it needs to be. This is a very, very nice number. When Monterrey gets filled, then hold back traffic in Sanchez. And then you even can hold back traffic in the pipeline from the U.S. going into Sanchez to go to Monterrey. So, when I hear every morning I will talk about in the morning call, how many cars I have in the pipeline in U.S. heading to Monterrey? How many cars in Sanchez are for Monterrey? And how many cars I have in Monterrey? And how many cars I service the industries in Monterrey everyday. So now we are beginning to serve as the industries in the Monterey area for about 550 cars a day. We are so congested in Monterrey because some of that surge and refined products came really as a surprise, as a shock. I mean, when you talk about 80 some percent, I can't remember it's 81% or 87% in one surge, it pretty much most of it's heading to Monterrey. And then after that when we saw it as far as actually moving to San Luis Potosi and started creating issues in San Luis Potosi, which is another yard in Mexico. So, we reacted and like I said, I had the whole team working during Christmas and New Year and the time in between to clean up the yard, because at some point, and the people, who are in road understand this, if you start congesting a yard, you spend all your time now cherry-picking trying to find the cars and moving others, switching other cars. So, we take advantage of this for a while, and are going to clean up the yard. And we did. And now the counts like I said from 3000 down to 1800, when you look at Sanchez, it was like 1,500 cars, even 2000 cars heading to Monterrey that was stuck in Sanchez. Now it's down through like 700. We still want to go down to about 300, 400. So this is clearly coming under control, and you see it when you talk to customers. And we look at this at customer issues every day, and we talk about specific customers and how we can help them, and the customers are working with us, the same way as the labor is working with us.
.:
Pat Ottensmeyer: Yes, Allison, to answer your question on trip plan compliance, we're kind of in low 70s in the U.S. and in Mexico, we kind of dip below 50, late in the year, but back above 50 and need to make a lot more progress there.
Allison Landry: Okay. Thank you, guys.
Operator: The next question is from Brian Ossenbeck from JPMorgan. Please go ahead.
Brian Ossenbeck: Hi, good morning. Thank you. Sameh, one follow-up on handling the growth and it just went on to fuel economy. So Sameh, probably both for you, can you give us a reminder at least where you are now and maybe where your exit year in terms of fuel economy between the U.S. and Mexico, and what assumptions you have baked into the guidance. So do you believe there is at least some structural challenges in Mexico based on the grade? So the split between the two would help, and then just back on refined products, you've had a tremendous demand even without really the overall market demand coming back. So it's clearly creating some challenges that you're working through, but how do you expect when the economy reopens, when the vaccines become more distributed, how do you expect you can handle an actual recovery in the broader market and not just the market share you've been enjoying so far? Thank you.
Sameh Fahmy: Okay. Mike, do you want to take the second one, or do you want me to go first? Was it…
Mike Upchurch: Well, why don't you go ahead? Yes.
Sameh Fahmy: Okay. I'm trying to remember my numbers. I can tell you that consolidated 1.24 gallons per KGTM in 2020. Okay. And we will out at 1.31 gallons for KGTM in 2019. So we improved by 5%. Our goal in 2021 is 1.16 gallons per KGTM, which has an improvement of 6% and additional improvement of 6%. And again, this is a very, very far cry from being perfect, because as you know, other railroads are at 0.98 less than 1%, less than 1, I'm sorry, less than one gallon per KGTM. And actually our operation in the U.S. is in that range well at about 1.0 in the U.S. So, the U.S. portion is running very, very close to what the other Class 1s are doing in gallons per KGTM at 1, Mexico is more like 1.54 which has a lot of room to go. And we're continuing that and we all know that there are some very steep grades in Mexico. But the thing we're very focused on now is the horsepower per ton, which is the HPT this is the secret, you get it with train lengths, the more train lengths typically the tonnage is heavier, and you try to do it with the same number of locomotives. So your ratio of tonnage or the opposite, horsepower per tonnage goes down and the less HPT, the better your fuel efficiency. One thing we're really keeping a very eye on and we created a very little tiny fuel desk for people, okay, so it's one per shift, essentially. We're monitoring to make sure that locomotives are shut down when they're not needed because when you come back with trains that have empties on them, like grain trains, when we take loads from the U.S. to Mexico, we come back with empties, but you have to reposition the locomotives to balance the power, well, that these locomotives are excess. So you want to shut them down, so that fuel desk is picking up every day. Some people are not compliant with this. So we shut down the locomotives, and that is more relevant in Mexico, that happens a lot more in Mexico. Also, when you take grades, the grades are less, say, Lazaro to Morelia. Well, after that, if you don't have grades, we shut down the locomotive; you don't need it for the rest of the trip. So you keep an eye on this stuff, you keep an eye on the HPT and sometimes it's a fraction of locomotives, in which case, you say okay, don't go higher than Strap 7, don't go to 8, which is effectively a reduction of the horsepower of that locomotive, because now in this case, it's fractional, you cannot shut down the whole locomotive. So, we're taking a lot of measures, we're very focused on Mexico to get the gains and fuel efficient what we're getting gains in U.S. too because, we added a lot of train lengths in U.S., we run at 8,000 now in the U.S. feet, which is very respectable. In Mexico, we're running at about 6,800. But we're trying to get those HPTs and the compliance, and we even are working with the Union to add a bonus for added compliance was the trip optimizer which actually is like cruise control that avoids braking and acceleration and burning fuel. And I believe we got that deal done. It's a win-win, it's a bonus for the cruise, and it's very good for increasing the compliance and getting more trip optimizers deployed. So we're working on a lot of fronts. The Mexico is the focus. And again, we're just aiming for 1.16 consolidated for U.S. and Mexico. And that is a far cry from the other side, when people ask about the operating ratio, that's why we still have a lot of room in the operating ratio. We have room on fuel even after we do the 1.16, we have room on velocity. I mean velocity target for next year average for the year is 60 miles per hour, between Mexico and the U.S., 18 in the U.S. and about 15 in Mexico, 16 miles per hour. And what I was before it was 2021, so we have room there too. So I keep saying we still have a lot of room on the cost. And we still have a lot of room on the revenue. So it's a nice place to be.
Pat Ottensmeyer: Okay, Operator, could we go to the next? We have eight more in queue here.
Operator: Jordan Alliger from Goldman Sachs; please go ahead.
Jordan Alliger: Yes, hi. Good morning. Just a quick question on the order thing, I know you mentioned the chip issue, we've seen some of that as well. I mean, it was just too small on a global basis to have much of an impact on the repair given the shutdown in the second quarter of 2020, but just curious of your thoughts on that front? Thank you.
Pat Ottensmeyer: Well, I can only speak to what we're seeing here. We're seeing impacts ranging from nominal or non-existent. It's some of our automobile manufacturers but in other cases, we have OEMs that have not reopened their plants and may not reopen facilities here until early to mid-February. So I think the semiconductor chip that's hitting different people different ways, but it is definitely impacting us here in the first quarter.
Jordan Alliger: Thank you.
Operator: The next question is from Justin Long from Stephens. Please go ahead.
Justin Long: Thanks and good morning, Mike, maybe just a quick question for you on the guidance. Anyway, you could help us with the buyback assumption that's getting baked into the EPS guidance this year and next year, in terms of the dollar amount you're buying back or the share count, and then maybe on technology, any color you can provide on spending for technology OpEx and CapEx the next couple of years versus what you've done historically, just curious how much of a role technology will play in this growth that you've outlined?
Mike Upchurch: Yes, I think on the buyback question, Justin, we're probably going to stay away from exact number of shares, and a lot of that obviously, depends on what happens with the price per share throughout the course of the year. But you ought to think about us continuing to apply 50% to 60% of our available cash to shareholder distributions with the vast majority of that going to buybacks. And also, keep in mind, the leverage ratio that I mentioned, trying to keep that in the mid-twos range, should give us some additional dry powder in the back half of the year. So I'll probably leave it at that. On the technology spend, I would tell you, we've got a chart in the back, I think it's in the appendix that we talked about that maybe gives you a little bit of insight into technology spend. It's roughly 7%, I think of our total CapEx. So we continue to invest in technology. Obviously, with PTC fully implemented now, we're going to continue to move forward with various automations. And, certainly have capital dollars in our budget to accomplish that.
Operator: The next question is from Allison Poliniak from Wells Fargo. Please go ahead.
Allison Poliniak: Hi, good morning. Would you talk to any guardrails that you may have in place on the growth side, you're willing to accept that, obviously, a lot of network improvements have been made. So you want to protect that. But obviously, you want to leverage growth there. So how are you balancing to, any color there?
Pat Ottensmeyer: Not sure I understand the question, the guardrails.
Allison Poliniak: Guardrails in terms of like, are you focused on profit? Like how are you working with your customers? Obviously, you want to take the growth and it seems like there's a lot of growth out there. But you want to protect sort of certainly the improvements you made on the network. So how are you balancing sort of that incremental load that you're willing to take on with the customers there? What kind of guardrails do you have in place that you started don't outpace that network availability?
Pat Ottensmeyer: So earlier on, I mentioned that, we're working with our customers to develop win-win solutions. These are the opportunities where we can work together to improve our efficiencies, it could be how we spot and pull pieces of equipment, or it could be on things like train lengths. So for example, if we have a customer who's running as an example, 80 cars on a train on a unit train, but it would be more efficient for us to run 90 cars on that train. We're working to incent them, to get us to that 90 train car lengths or train length in this example. And then we're basically sort of sharing in the benefits. So that's something that we're actively working on with our operations team and customers. And so far, it's been received well.
Allison Poliniak: Perfect, thanks.
Operator: The next question is from Scott Group from Wolfe Research. Please go ahead.
Scott Group: Hey, thanks, morning. Can you just say relative to the revenue guidance, what's in the plan for train starts and headcount this year? And then Mike, I just want to understand the free cash flow $700 million both years. Is there a reason that earnings are up 20% or so in '22, you wouldn't see free cash flow grow?
Mike Upchurch: Yes, you're talking about 2022. We have some incremental tax payments that will happen in Mexico. You're kind of operating on a lag basis where 2021 cash tax payments in Mexico are based on 2020, which has depressed income levels because of COVID. So then your '22 payments will be based on '21, which will have good growth in our income. So that's why your free cash flow maybe it looks a little bit low, but then we would expect that to accelerate again into 2023. And I'm sorry, Scott, I forgot your second…
Scott Group: Let me just -- train starts and headcount in the plan for this year, how much do you think there'll be?
Mike Upchurch: I made a comment around headcount. We believe the growth there will be far less than our overall volume. I would tell you sitting here today depending on exactly where all the growth comes from, think about headcount growth just being up a couple of points, and we're going to try to through train length continue to get operating leverage. I know you track the numbers every month when they get reported and we've shown some pretty nice operating leverage there from the standpoint of growth versus head count. And we would expect to continue to see that kind of leverage.
Operator: The next question is from Bascome Majors from Susquehanna. Please go ahead.
Bascome Majors: Hi, good morning and thanks for taking my questions. I just wanted to clarify a couple of things on the 2022 outlook, does the OR target assume any breakthrough in the four men crew negotiation in Mexico, and on the CapEx, does that include any anticipated spin the Laredo Bridge, and maybe just an update on where that stands and what that can mean for your capital envelope if you go forward? Thank you.
Pat Ottensmeyer: Jeff, do you want to cover Laredo Bridge?
Jeff Songer: Pat, let me take the capital question first. I think largely that project is underway. We're in design phase right now. We're targeting completion of that probably early 2023. So we'll start to see some spend this year, bulk of that spend will be 2022. We believe we can handle most of that within kind of obviously within this current guidance, as those design estimates are done and cost estimates are done that may tweak one way or the other, but largely absorbing that Laredo Bridge as part of our normal run rate is the plan.
Operator: The next question is from John…
Pat Ottensmeyer: Bascome, on the labor, no, we don't have any specific assumption that we're going to get that breakthrough. We're just going to continue to manage us through train consolidations. I think we may have mentioned headcount was down 7% in Mexico. So we've been able to accomplish some of that savings just through train consolidations, but we're not giving up on that as Sameh mentioned, we've made a lot of individual progress and individual asks that we've had, but now we have not assumed a major breakthrough in any of our guidance numbers.
Bascome Majors: Thank you both.
Operator: The next question is from John Chappell from Evercore ISI. Please go ahead.
John Chappell: Thank you. Good morning, everyone. Jeff, you laid out the investment plans in the near term on Mexico for all the obvious reasons of the growth opportunities there. And we know about the bridge, what are some of the investments in this side of the border regarding to trying to take customers enter new markets, where are you targeting your investment dollars in the U.S. growth initiatives?
Jeff Songer: Yes, that's a good question. Again, the focus has been largely on Mexico for structural reasons. The U.S. network has been built out over the years with kind of some of these longer sidings. And so right now we don't see a lot of restrictions, don't see a lot of need on that. Although as we move into the future, I think certainly we'll continue to look at train length opportunities. We look at our core routes certainly between Kansas City all the way to the border and continue to look at even further expansion of maybe sightings to continue to expand upon as Sameh mentioned the current 8000 foot train length in U.S., which is respectable as we go beyond that. We are looking at some of the areas really on the Laredo, as you get closer to the border we are doing some work in the Laredo yard itself this year, which really complements the cross-border on the U.S. side. So, those are your focus areas, we feel pretty good about the infrastructure in the U.S. being where it needs to be, but we'll obviously keep our eye on things.
Sameh Fahmy: And we're doing, Jeff, we're doing some investment in Campbellton, Campbellton is in the Houston area. And that is strategic because of the growth in refined products like a lot of demand from Corpus Christi and these areas. And that requires, some manifest trains that that need some consolidation, some switching. So we're investing in, it's not a big yard. It's a small yard in Campbellton, but that strategy is aligned to the refined product strategy.
John Chappell: Great. Thanks, Sameh. Thanks, Jeff.
Operator: The next question is from David Ross from Stifel. Please go ahead.
David Ross: Yes, thank you and good morning. Quick question on the cross-border process, wondering if in the past year, has it gotten any easier with U.S. and Mexico Customs, if there's anything changing with the paperwork versus electronic documentation in the process that might improve velocity and turns?
Jeff Songer: Yes, this is Jeff, I can talk on that. Yes, we continue to work very closely with customs, more process related items. Sameh mentioned kind of the shifting of windows, we currently operate on a six hour window North, six hour window South, we again we've had some success recently, we'll shift those to four hours here, which we believe creates a little more capacity, little more fluidity, continuing to work towards kind of a windowless operation there. But a lot of that is in sync with customs and those processes, we feel very good about, those initiatives where we're at, the International crew initiatives that again, this kind of normal course of business now that continues to operate very well. And we have opportunities to continue to expand that. So I guess from an overall process at the border, we feel good, we feel confident in the relationships with those entities on helping us continue to modify that to continue to manage this growth, we continue to talk about.
David Ross: Is there any talk of a seamless border crossing kind of how some packages that move internationally clear customs in the air before they even get here? It would be possible to clear a train before it hits?
Jeff Songer: Yes, we absolutely talk and again, those are items that we have coordinated efforts on going to try to get some of that here, push through, we're clearing at destination in Mexico, you've got a lot of that grains, it does have to sit at the border and go through some clearing processes there. So yes, those are absolutely other components of what we'd like to do and see a truly seamless border crossing here in the future.
David Ross: Thank you.
Operator: The next question is from Brandon Oglenski from Barclays. Please go ahead.
Brandon Oglenski: Hey, good morning, everyone. And I appreciate you getting all the questions. And Mike, I think you said in your prepared remarks here that, there's about 4% to 5% upside here on growth, unique things to your network. Should we think about those as really kind of baked into the plan here? I mean, I know the economies contribute, but the GDP is almost as agnostic to GDP. And I know, it's been asked earlier, but any view on where we should be thinking volume and revenue for 2022?
Mike Upchurch: Well, I think we danced around the 2022 question a little bit earlier. So I'll do that again here. With respect to that 4% to 5% that are related to our sort of unique growth opportunities here. Yes, these are things that are very much related to cross-border business, right. So it could be refined products, it could be metals business, certainly intermodal business. It's really a wide variety of things that we think that, we haven't talked about near-shoring at all here today, but we do think with U.S.  being racked up behind us, there's more certainty for people to make decisions. Certainly the pandemic has made people question their supply chains and the length of time it takes to get things to the United States. So the fact that we operate in the U.S. and across the border and into Mexico and vice versa, that is something that is unique to us and it will serve us well moving into the future.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to Mr. Ottensmeyer for any closing remarks.
Pat Ottensmeyer: Okay, thank you. I appreciate all of your time and attention and good questions. I feel like we finished 2020 on a very strong note, set us well for 2021, good visibility on both the demand and revenue growth perspective and cost side. I think the only other comment that would be appropriate to make given most of you're probably in the Eastern Time Zone and in New York is we're looking forward to a really exciting AFC Championship Game on Sunday night and a return to the Super Bowl for the Kansas City Chiefs. So thank you all and we'll see you on the Conference Circuit and back here in 90 days. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.